Operator: Good day, and thank you for standing by. Welcome to the Brookfield Renewable Partners Fourth Quarter and Full Year 2025 Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you'll need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your speaker today, Connor Teskey, Chief Executive Officer. Please go ahead.
Connor Teskey: Thank you, operator. Good morning, everyone, and thank you for joining us for our fourth quarter 2025 conference call. Before we begin, we would like to remind you that a copy of our news release and investor supplement can be found on our website. We also want to remind you that we may make forward-looking statements on this call. These statements are subject to known and unknown risks, and our future results may differ materially. For more information, you are encouraged to review our regulatory filings available on SEDAR plus EDGAR and on our website. On today's call, we will provide a review of our 2025 performance, share our perspectives on the energy market today, and provide an update on the growth outlook for our business. We will then turn the call over to Patrick who will discuss our operating results and strong financial position as well as outline how our increasingly differentiated access to capital is providing a clear advantage for our franchise today. He will then conclude our remarks with an update on our growing asset recycling program. Following our comments, look forward to taking your questions. 2025 was another excellent year for our business. We delivered strong financial results, strengthened our balance sheet, and most importantly, further positioned the business to continue delivering strong growth and value creation for our unitholders going forward. This past year, we delivered $2.01 of FFO per unit. Up 10% year over year and in line with our long-term growth target. On the back of solid operating performance, expanded development activities, accretive acquisitions, and growing capital recycling. We deployed or committed a record $8.9 billion or $1.9 billion in growth net to BEP. Highlighted by the privatization of NayON, our carve-out of Geronimo Power in The United States, and our increased investment in Isahan one of our strongest performing businesses over the last decade. We were successful in advancing our various commercial priorities, signing contracts on over nine gigawatts of generation capacity. We also continue to scale our development activities bringing online over eight gigawatts of new capacity globally a record for our business. We delivered on our asset recycling targets, reaching agreements to sell assets generating $4.5 billion of proceeds or $1.3 billion net to BEP at returns above the high end of our targets. And we accomplished this all the while strengthening our balance sheet, ending the year with $4.6 billion in available liquidity. Stepping back and looking at the broader market today, it is now clear that power is a strategic priority around the world and is the bottleneck to growth for both governments and corporates. Investment in new generation capacity over the past several years was largely about replacing carbon-intensive generation a world of modest, or even flat electricity demand growth. Today, that backdrop has fundamentally shifted. Energy demand is rising at a pace not seen in decades, driven by the multi-decade trends of electrification and renewed industrial activity. This demand growth is being further amplified by AI and the unprecedented investment in energy consumption from some of the largest companies in the world. As a result, we are not only transitioning the grid, but adding substantial net new generation for the first time in decades. Said another way, have shifted from a period focused on energy transition to a period focused on energy addition. This shift is driving a move from incremental grid upgrades to large-scale expansion prioritizing fast to deploy renewables, scale baseload generation, and capacity to ensure reliability. Meeting this demand will require a mix of all the scale and efficient technologies over time. Solar and onshore wind will play a critical role given their speed to market and low cost. Hydro and nuclear are important for their base load and scale, natural gas for its flexibility, and battery solutions will be critical for ensuring the reliability of grids going forward. In this evolving environment, we have deliberately positioned our business at the epicenter of many of these technologies. Allowing us to capitalize on the rapidly expanding opportunity set given our operating and development capabilities, strong partnerships and significant access to capital. First, we are scaling our development of low-cost fast to market solar and onshore wind to meet the accelerating demand for power in the near term. Over the past year, we commissioned a record amount of new solar and onshore wind capacity and are on track to reach a run rate of delivering roughly 10 gigawatts of new capacity per year, by 2027 all while maintaining our disciplined approach to development. Second, against the backdrop of growing demand for reliable base load power, we are well positioned in the current market through our operating hydro assets and our ownership of Westinghouse. As power systems require more scale baseload generation, flexibility, and enhanced reliability. The value of hydro is being recognized more than ever before. This has been highlighted by the execution of three twenty-year power purchase agreements at strong pricing with hyperscalers, a first for our business. As well as the signing of the framework agreement with Google to deliver up to three gigawatts of hydro generation in The United States. With respect to nuclear, only slightly more than two years ago, we invested in Westinghouse. Gaining exposure to this critical technology for current and future electricity grids given its scale and baseload characteristics. Our investment was underpinned by Westinghouse's highly contracted infrastructure like cash flows from its fuel and maintenance business, its strong market share and its leading and proven technology for large-scale nuclear power reactors. The current energy demand environment has reinvigorated the nuclear sector with increasing recognition of the role nuclear can play to enable economic growth and provide energy security. Perhaps the most impactful development for the sector is the recently announced landmark agreement with the U. S. Government to deliver new nuclear reactors utilizing Westinghouse technology in The United States. This agreement delivers significant economic value to Westinghouse and BEP via the development of multiple reactors and then through the long-term provision of fuel and maintenance services over the eighty plus year life of those reactors. A commitment of this scale provides long-term demand helping unlock supply chain investment and positions Westinghouse to expand deployment well beyond this initial program. To both corporates and governments in The US and internationally. Since signing this agreement, all parties have been working to progress the sites to construction as quickly as possible largely focusing on-site selection, and the ordering of long lead time items. Against this backdrop, and the known development timeline for nuclear, the limited new hydro capacity available, and the growing backlog for natural gas plants we are seeing batteries play an increasingly important role in the near term. With their importance set to grow over time as additional low-cost renewables come online. Battery costs have declined by an astonishing 95% since 2010. Following a trajectory similar to solar panels a decade ago. And we see a growing opportunity to deploy this technology on a contracted basis at strong risk-adjusted return. Our recent acquisition of NaoN significantly expanded our operating footprint capabilities and development pipeline in battery technology. And we expect to quadruple our battery storage capacity over the next three years to over 10 gigawatts. This growth is highlighted by one of the largest stand-alone battery storage projects globally, totaling over one gigawatt which we are currently advancing through NaeoWen in partnership with a sovereign wealth fund. Taken together, rising energy demand across global markets is driving the need for rapid additions of renewable capacity large-scale baseload power, and battery storage. Backed by long-term partnerships with the world's largest corporate buyers of power and governments, we are delivering more generation than ever before. By being positioned in markets with accelerating demand, combined with our global scale, significant access to capital, and our operating and development capabilities across key technologies, we are best positioned to deliver comprehensive energy solutions across all markets at scale and are entering into a period of outsized earnings growth generating significant value for our unitholders over the long term. And with that, I'll pass it on to Patrick to discuss our operating results our diverse sources of scale capital our balance sheet as well as our recent capital recycling initiatives.
Patrick Taylor: Thanks, Connor. And good morning to everyone on the call. As Connor noted at the outset of his remarks, 2025 was a strong year across almost every metric. With the business delivering 10% FFO per unit growth achieving our target while maintaining our best-in-class balance sheet and further positioning ourselves to generate significant growth and value going forward. In the fourth quarter, we delivered FFO of $346 million up 14% year over year. Or 51¢ per unit. On a full-year basis, delivered FFO of $1.334 billion or $2.1 per unit. Up 10% year on year. Results were driven by the strength of our contracted inflation-linked cash flows across our diversified global operating fleet. Growth from development activities, accretive acquisitions, and scaling capital recycling. Looking across our segments, our Hydroelectric segment delivered strong results this year, with FFO of $6.67 million up 19% from the prior year. Benefiting from solid generation across our Canadian and Colombian fleets higher revenues from commercial initiatives, and gains from the sale of a noncore hydro portfolio. All of which offset weaker hydrology in the in The US. Our wind and solar segments generated a combined $648 million of FFO supported by contributions from the acquisitions of Nayon, and Geronimo Power, as well as our investment in a portfolio of contracted offshore wind assets in The UK. This growth was offset by gains on sales recorded in last year's results. Which included the sale of Scieta, and the partial disposition of Shepherd's Flat. In our distributed energy storage and sustainable solutions segment, we generated record results of $614 million. Up almost 90% from the prior year. Driven by growth through development the acquisition of Nayeon, and strong performance at Westinghouse. On the back of continued momentum in the nuclear sector. In addition to the strong results, a continued focus of ours has and will always be to maintain balance sheet strength financial flexibility. This enables us to be opportunistic when it comes to deploying capital into growth and protecting us against downside risks. We ended 2025 with $4.6 billion of liquidity, And over the past year, we reaffirmed our BBB plus investment credit investment grade credit rating which we remain firmly committed to maintaining going forward. Our rating, significant liquidity, and strong financial position enable us to be very opportunistic with respect to our financing activities which further strengthens our balance sheet. In 2025, we executed over $37 billion in financings, a record for our franchise. These financings were highlighted by the completion of $2.2 billion in investment-grade financings. Primarily at our hydro assets. Where we are seeing strong lender demand for these assets and are leveraging the benefits of newly signed long-term contracts at strong pricing. In March past year, we issued CAD450 million of ten-year notes at what was our lowest spread in almost twenty years at the time. We then more recently topped this. Issuing $500 million Canadian of thirty-year notes this January at our lowest spread ever. Reflecting the strong demand for our credit and our ability to be nimble and take advantage of a favorable spread environment. In November this past year, we also executed a $650 million bought deal equity raise in concurrent private placement. We were successful deploying capital ahead of our targets in the twelve months prior to the equity raise, and this financing provides capital to invest even further in the expanding opportunity set in areas where we have a differentiated ability to deploy capital. Such as hydro, nuclear, and battery storage. Our strong balance sheet is further enhanced by the fact that we deploy our capital alongside a large pool of third-party funds, raised by Brookfield Asset Management. In 2025, Brookfield successfully completed fundraising of over $20 billion for its second vintage of its global transition fund. This capital will support large-scale investments alongside BEP that few others can make. Further enhancing our access to large, high-quality m and a opportunities that help us achieve strong, and consistent growth. In addition to our financing activities across the business, we are continuing to scale our capital recycling program which is increasingly providing significant liquidity to support our growth and crystallize value creation within our business. We continue to see robust demand from private investors for derisked infrastructure like cash flowing operating assets. At the same time, with our scaling development activities, we have a growing portfolio of assets and platforms we are selling on an annual basis. The size of our portfolio our flexibility to sell whole platforms standalone assets, or minority stakes. Is enabling us to be active in the market. Consistently selling at prices that deliver on our target returns. This past year, we generated record proceeds of $4.5 billion or $1.3 billion net to debt from asset recycling alone. This year, our asset rotation activities were highlighted by the sale of a major North American distributed energy platform. A 50% interest in a portfolio of noncore hydro assets in The U. S, the establishment of an asset rotation program at Nayeon. That was successful in executing the sale of $1 billion of enterprise value of assets in our first year of ownership alone. Looking ahead, we are focusing on continuing to scale our capital recycling program and generating proceeds from sales in a more recurring manner. In January, we agreed to sell a two-third stake in a large portfolio of recently built operating and solar asset wind and solar assets in North America. Generating proceeds of $860 million or $210 million net to BEP. And are actively progressing the sale of the remaining interest. In conjunction with this sale, we are also establishing a framework for the future sale of select assets that meet certain criteria to the same buyers. This framework, We also wanted to note that after the quarter end, we announced a fully discretionary $400 million at the market equity issuance program for our BEPC shares. We expect to use the proceeds to repurchase BEPC units on a one-for-one basis under our existing NCIB. The purpose of the program is to increase BEPC's float, and liquidity in a nondilutive manner. While also allowing us to capture value from the persistent premium at which those shares trade. Providing incremental cash to deploy into growth or buy back even more shares. Lastly, with our record results, in conjunction with our strong liquidity and robust outlook for our business, we are pleased to announce an over 5% increase to our annual distribution to $1.46.8 per unit. Since Brookfield Renewable was listed in 2011, we have now delivered fifteen consecutive years of annual distribution growth of at least 5%. Each year. In closing, we remain focused on delivering 12% to 15% long-term total returns for our investors. While remaining disciplined allocators of capital, leveraging our scale and operational capabilities enhance and derisk our business. On behalf of the board and management, we thank all of our unitholders and shareholders for their ongoing support. That concludes our formal remarks for today's call. Thank you for joining us this morning. And with that, I'll pass it back to our operator for questions.
Operator: And wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from Sean Steuart with TD Cowen.
Sean Steuart: Thanks. Good morning, everyone. A couple of questions. To start with. Connor, 2026 would be the first year where you start to, to feed projects into the Microsoft framework agreement. Can you give us an update on progress there and the cadence of capacity into that deal through 2030? How is that advancing at this point?
Connor Teskey: Good morning, Sean. I would make this comment more broadly on a wholesale basis beyond very simply our strong relationship with Microsoft. The demand we are seeing from, corporates and, in particular, the large high scalers. Is at an all-time high. And I recognize that we've been saying that for a number of years, but that demand just continues to accelerate and continues to grow. And we're seeing that in terms of the projects and the execution that we are doing with counterparties such as Microsoft on an ongoing basis. When we launched that program, we had a defined set of projects in our pipeline that we thought would fill the 10 and a half gigawatts. That was initially outlined. I would say since we announced that agreement in 2025, we are seeing counterparty such as Microsoft look for power in a broader spectrum of regions and markets, particularly across The United States. Even a broader, spectrum of technologies to meet their power demand. So we will see growth in 2026 and we expect to see that growth do nothing but accelerate from 2026 through the rest of the decade.
Sean Steuart: Okay. Thanks for that perspective. And then Patrick, a question on the balance sheet. You guys were busy with financing initiatives in the fourth quarter, asset recycling. When I look at the ratio of available liquidity versus the scale of the secure development pipeline or versus the installed asset base. Those ratios have moderated a little bit the last one point years. I guess any commentary on broader comfort with the liquidity position I appreciate you're gonna be busy recycling assets. But are there ratios you're focused on to sort of sustain a comfort level with available liquidity relative to expanding growth opportunity set?
Patrick Taylor: Yeah. Absolutely, Sean. And I would I would say we're very comfortable, first of all. And when we think about our available liquidity and the business obviously having grown over the last several years, we're very focused on sort of maintaining a minimum level and around that $4 billion mark. We're pretty fairly focused on it. It's not a hard line by any means, but we have been at or around that or above that, I should say, for the last several years at this point. It's a level given the scope of our business today that we feel quite comfortable being at. And to your point, as the development pipeline continues to grow, we're complementing that by scaling our capital recycling as well. So that allows us to be in and around that $4 billion mark and be very comfortable with our funding availability of our liquidity, I should say.
Sean Steuart: Okay. But when you think about 4 billion, I mean, you've been there for a while now. Your organic growth pipeline is expanded really rapidly. You know, is that is is I would imagine there's sort of, like, a dynamic element to this is the velocity of capital deployment changes for you guys. You know, as the organic pipeline grows, is there other thoughts to that?
Patrick Taylor: No. I think it's fair that as the organic pipeline continues to grow, there'll be an element where we'll we may look to increase that over time. But we're at a level right now where as we look out over the next several years, we're quite comfortable at these levels. And part of it is just because of that visibility we see on accelerating, recycling.
Sean Steuart: Okay. Okay. That's all I have for now. Thanks very much.
Operator: Our next question comes from Nelson Ng with RBC Capital Markets.
Nelson Ng: Great. Thanks and good morning, everyone. So a quick question In terms of the eight gigawatts commission this year, I think about 2.5 were in North America. But obviously, there's a lot in The US. So when you look at developing projects in The US, are you still seeing any like, headwinds or bottlenecks from from the federal government from a permitting perspective for for onshore wind solar. Like, obviously, it's a different story for offshore wind, but but you're you're doing onshore. But are are you seeing any headwinds there?
Connor Teskey: Hi, Nelson. Thank you for the question. Really put this in two buckets. What we would say is, when it comes to solar, which is the broadest component of our pipeline, solar and batteries in The US, we are seeing no slowdown. We are seeing an acceleration. And this is driven by solar is quick to deploy. It's cheap. It's the lowest cost form of production. And quite frankly, the corporate need the power as quick as possible. So on solar, we are seeing no change, if anything, in acceleration, and we're trying to pull projects forward as fast as possible. On wind, onshore wind, there has been some slowdown in permitting from the federal government, but projects are still getting done. And we've taken that into account into our development and execution process. That's reflected in the pipeline that we prep we present. I would say that wind is progressing slower than onshore solar in The U. S. Market, but both are still getting done.
Nelson Ng: Got it. Thanks for the color. And then just switching topics a bit. So, obviously, we're hearing a lot a lot about the elevated power prices in The US. And the fact that you are signing more long-term hydro contracts but when I look at your realized power prices for The US hydro segment in the supplemental document. I think the realized hydro price has been flat year over year at about $83. I'm just wondering whether that's just due to the generation mix given that it was below average in the past year And should we be seeing an increase going forward?
Connor Teskey: You should see an increase going forward. And there's a lot of different dynamics that flow through those numbers, but the overarching point to be made is the scarcity value of hydroelectric power is at an all-time high right now. And it perhaps gets glossed over in the breadth of our broader business But the three contracts, three twenty-year take or pay PPAs inflation linked with some of the largest corporates around the world from our perpetual hydro assets. We have never seen demand of that scale at the prices we have seen. In, I'd say, the last year, but in particular in the last six months. And as those contracts get layered in, some of those contracts don't start immediately. They start in a couple years when the existing contracts roll off. You will begin to see higher achieved contracted power prices across our hydro portfolio.
Nelson Ng: Great. Thanks. And I'll try to squeeze in one more question. In terms of capital recycling, you guys mentioned that you have a I guess, a potential framework to to sell an additional 1 and a half billion to to some buyers. To some existing buyers. Like, so when when you look at recycling assets, are, like, how much of your customers are or how much of the buyers are essentially repeat customers? And should that streamline your asset recycling process going forward?
Connor Teskey: Short answer, yes. But let me provide a little bit more color. Since we started to grow our development business, I would say in 2019 or 2020, our capital recycling activities have understandably grown on a similar trajectory but probably on a three-ish year laggard basis. The time it takes to to pull a project. Out of the ground. As a result, over the past two or three years, our asset recycling proceeds have become a very consistent recurring, predictable source of both funding and earnings for our business. And given the trajectory of our development activities and the visibility of our pipeline today, we would expect this activity to continue going forward with 2026 being no different. Then when it comes to the recent we will call them frameworks we've set up, in terms of asset recycling, similar to in the past how we have raised capital to facilitate a greater level of deployment growth. We think about this as raising capital to facilitate a greater amount of capital recycling in the business. And we're pretty excited about what we've designed and executed here because what these frameworks and we've executed one and we're pursuing others in different regions around the world that we would hope to execute in the near term, what we have done is we would say we have created almost a framework or a program to recycle newly built assets at scale quickly on a recurring basis. And the impact to our business is it significantly derisks our development platforms around the world and the business plans we're seeking to execute. And it significantly derisks our capital recycling and funding plans for our business for the next several years. I will go out on a limb and say, I think this is going to be a huge differentiator for our franchise. Yes. We've signed one, since the end of the year. Focused on North America, but we expect to sign others in the near term here. And these are very significant in terms of scale. And not only are they going to provide an accretive source of funding for our business, they significantly significantly derisk our development activities that continue to grow.
Nelson Ng: Great news. Thanks for the color. I'll leave it there.
Operator: Our next question comes from Robert Hope Scotiabank.
Robert Hope: Good morning, everyone. So at the recent Investor Day, you spoke quite bullishly about the battery outlook, and I believe you commented that it could be seven gigs in a couple of years. And today, you're saying it could be 10 gigs. Is the accelerating development pipeline here or an increasingly bullish outlook here in part due to the fact that you're seeing larger opportunities. The one gigawatt battery project for the sovereign wealth fund, is this indicative of where you think development is going, larger projects to ensure reliability for the grid?
Connor Teskey: Yes. And, hi, Rob. The short answer is yes. Make no mistake. Batteries are the fastest growing part of our platform today. And we expect that to continue. But what this is really driven by is the simple fact that battery costs continue to go down. Technology advances continue to be made. And, therefore, we are seeing batteries as a potential solution in more and more of our projects and in more and more of our markets. The other thing we would highlight is we do all think of at Brookfield Renewable, think about battery development probably a little bit different than generation development. Because it can be executed faster. Much of the equipment shows up prebuilt on-site, And because batteries and energy storage reduce grid congestion as opposed to add to it, there is significant incentive from grids to bring batteries online faster. Therefore, yes, we have accelerated or increased our outlook for batteries, but it's very simply just a reflection of what we're seeing across our business and what we're doing with our sovereign wealth fund partner, we would expect to do other similar projects, like that going forward.
Robert Hope: I appreciate that. And then maybe turning over to the m and a environment. You've been very successful monetizing assets. But on the other side, acquiring assets, what does that environment look like in a rising price environment as well as the power addition environment.
Connor Teskey: So perhaps I'll almost tie this back to Patrick's answer on funding a little bit. We've always been very opportunistic in terms of funding our business. And right now, we see scale capital as an increasing competitive advantage in today's market. And we see a very constructive market for deployment into growth. This is why we took the decision earlier this year to strengthen our already very strong capital and balance sheet position. Because we do believe we are at the start of a period of very attractive deployment into growth in m and a. And very simply a broader consolidation of our space where we think we can play a very significant role.
Operator: Thank you. Next question comes from the line of Baltazidu National Bank of Canada.
Baltej Sidhu: Thank you, and good morning, everyone. So Connor, just given that renewable infrastructure valuations remain compressed and you've noted the large largely US based development pipeline Where are you seeing the most attractive risk-adjusted opportunities today that operating app late stage development, or or new stage platforms? And do you think that mix will evolve, looking into 2026?
Connor Teskey: The opportunities we are seeing, are pretty broad-based around the world, but perhaps to focus on a few themes that we we are seeing right now. I would perhaps highlight three where we're seeing the greatest volume of opportunities that we we view as Absolutely, yes, public companies. That would be number one in the current environment. The second point we would highlight would be carve-outs. From broader utilities or energy businesses because there are such significant capital needs across the industry, Market participants are needing to choose where they will allocate their capital budgets. And to put it bluntly, some market participants can't fund 100% of the opportunities they have at their disposal, and therefore, they may look to sell divisions, that they don't expect to fund all the growth opportunities in, and that could be an opportunity with us given our robust capital position. The last point we would make is we are seeing a unique dynamic in the developer market. Where we are seeing a bifurcation between what we would call high-quality developers and, maybe less high-quality developers. High-quality developers price at an absolute premium, in today's environment given the growth trajectory of electricity demand and the value of projects that can be pulled out of the ground. However, developers that maybe don't have scale capabilities to navigate the current environment, but do have large pipelines of projects we we are seeing more attractive pricing at end of the market and and would expect to be active there in order to add projects to our pipeline that we can then contract with the demand we're seeing from our customers.
Baltej Sidhu: Just one more for me. Just on the CSV of hydro that you had had alluded to and speaking towards the Google HSA, which could see you potentially acquiring additional hydro to facilitate the entirety of the three gigawatts. What are you seeing in the market, and and how are you thinking about it just looking forward in that part?
Connor Teskey: Sure. What we would say when it when it comes to hydros is it very much, depends on location. As mentioned, we've seen really strong demand for our hydros and premium valuations both in contracts and in assets in markets in The US like PGM and MISO. And our activities in 2025 reflect that. However, what I would say is what we are seeing is the offtakers of these hydro assets increasingly looking now beyond those two markets, which have really been their focus I would say, for the last two years. Therefore, when we look to potentially acquire assets, we're probably looking for assets in these markets that have been viewed as noncore in the past where we can acquire assets, execute operational improvement programs, and re them under our framework agreements. But the biggest point I would say is K. I'm I'm curious. Couple of things is is is applying mostly greenfield development that you picked up a couple meg actually, quite a number of megawatts from from Neon. Or are there opportunities to also do M and A? And then I'm also secondly curious the revenue model will storage for for you specifically, is that you expect to be mostly contract, or is there a fair element of of merchant arbitrage in in there? Good morning, Ben. Great question. So in terms of batteries, we we view ourselves to be in quite a fortunate position because we do have a very large organic development pipeline. A lot of that did come through the acquisition of Nao N. Candidly, Nayoen was the largest acquisition in the history of Brookfield Renewable. We recognize that perhaps a lot of people knew Nayeon as a leading global renewable power developer. We obviously saw that and the value of that. But we thought what was underappreciated in their business is the fact that they're the leading global energy storage developer as well. And what you've seen in our first year of ownership is us really accelerating the growth in the business, but particularly on the energy storage side. We are also looking at m and a opportunities in the battery space, but we've positioned ourselves that we can be, quite discerning and balance the returns we're seeing in m and a versus the returns we're seeing in organic development. To your question about contracting, we're very excited about the evolution of what we've seen in the energy storage space where only perhaps two, maybe three years ago, a lot of the revenue models were arbitrage or or merchant related. Increasingly, what we are seeing is long-term tolling or almost take or pay capacity contracts on newly built battery assets. And very simply, as an example of the large project that Nayeon is pursuing. That would be on a 100% contracted basis for the entire life of those assets. So a development and revenue profile very much in line with or potentially even stronger than what we do all day every day on the wind and solar side.
Baltej Sidhu: Okay. Understood. Thanks for that. And then can I also ask him offshore wind side? Do you comments, you you didn't like it for a while, maybe seven, ten years. You got maybe more open to it. They did a deal for that. Where does Brookfield stand today then on offshore wind? Understandably, it would be very market specific. But we are seeing some markets We won't bury the lead here. Europe, in particular, in increasingly more constructive from an offshore wind perspective. And we are evaluating opportunities in the space there. That being said, as with everything, we will compare the investment profile and the risk return we see in those opportunities versus what we see elsewhere in the portfolio and only pursue them if we think we're being appropriately compensated.
Baltej Sidhu: Okay. If I may it's a follow-up on on that. There's been maybe a trend of offshore wind assets in Europe as they reach end of contract life, they become more merchant like? Is that something that maybe Brookfield could opportunistic take advantage of?
Connor Teskey: Certainly. And in particular, if we could bring our contracting to bear, such that we could acquire those assets based on a merchant profile that bring our power marketing capabilities to quickly derisk them, through a new long-term contract, yes, that's absolutely something we would look at. We would be clear that we've seen a couple of those opportunities, but it's not the largest opportunity set in the world today.
Baltej Sidhu: Okay. Understood. Okay. Thanks, Connor.
Operator: Our next question comes from Anthony Crowdell with Mizuho.
Anthony Crowdell: Good morning, Connor. Just a quick one. A follow-up maybe on the previous question or two questions on PJM. Just several weeks ago, the Trump administration created that backstop auction. Is a very light on details. I'm just curious if you think that plays maybe or pushes hyperscalers to focus more on Brookfield Renewable's development side where you bring a new generation in or the company could be opportunistic with some repricing, some existing generation?
Connor Teskey: Good morning. So the activity in the announcement around PJM, We Very Much See This As Simply A Reflection Of The Demand For Energy. And Quite Frankly, How Tight The System Has Become In Particular, In Markets With The Highest Levels Of Energy Demand Growth. We've Been Saying For Years That The Supply Demand Imbalance Has Been Growing Materially. And This Inevitable Evolution Leads To The Immediate Need For Large Scale Capacity To Be Added To Grids Around The World And In Different Markets In The United States. So from our perspective, one of the most constructive outcomes of this discussion is that it should create a dialogue to facilitate an acceleration of new capacity coming online over the long term. That's obviously incredible for the market, and it's incredible The growing and incremental demand. We view this as a step towards addressing the underlying supply demand imbalance for our business and sorry, addressing the underlying supply demand imbalance in that market. We view that as very positive for our business.
Anthony Crowdell: Great. Thanks for taking my question.
Operator: That concludes today's question and answer session. Like to turn the call back to Connor Teskey for closing remarks.
Connor Teskey: Great. Well, thank you, everyone, for joining our Q4 conference call. We appreciate your continued support and interest in Brookfield Renewable, and we look forward to providing an update, after Q1. You, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.